Operator: Good morning. My name is Cassandra, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Regis Corporation Fiscal 2015 Fourth Quarter Earnings Call. [Operator Instructions] If anyone has not received a copy of today's press release, please call Regis Corporation at (952) 806-2154, and a copy will be sent to you immediately. If you wish to access the replay for this call, you may do so by dialing 1 (888) 203-1112, access code 9656366. The replay will be available 60 minutes after the conclusion of today's call.
           I would like to remind everyone that to the extent the company's statements or comments this morning represent forward-looking statements, I refer you to the risk factors and other cautionary factors in today's news release as well as the company's SEC filings. Reconciliation to non-GAAP financial measures mentioned in the following presentation as well as others can be found on their website at www.regiscorp.com.
 Speaking today will be Dan Hanrahan, Chief Executive Officer; and Steve Spiegel, Chief Financial Officer. After management has completed its review of the quarter, we will open the call for questions. [Operator Instructions] 
 I would now like to turn the call over to Mr. Hanrahan for his comments. Dan, you may begin. 
Daniel Hanrahan: Thank you, Cassandra. Good morning, everyone, and thank you for joining us. With me today are Steve Spiegel, our Executive Vice President and Chief Financial Officer; Eric Bakken, our Executive Vice President and Chief Administrative Officer; and Mark Fosland, our Senior Vice President of Finance. 
 Because it is the end of the year, I want to look back at where we started our turnaround, where we are today and where we are headed in the future. It's a good time for me to summarize our progress to date and the work we still have to do. Over the past 2 years, we have significantly changed the way Regis manages the salon business. These changes, while necessary, created disruption. However, after years of declining traffic and revenues, we have begun to stabilize the business. My confidence in Regis' future grows as we continue to execute our strategy to build a performance-based culture and make Regis the place for stylists to have successful and satisfying careers.
  I'd like to take a couple of minutes and remind everyone of the steps we've taken to position Regis for success. A complete cultural transformation was necessary to break the cycle of declines we were experiencing. We began to implement our strategy in mid-2013. We executed a number of transformational initiatives that laid the foundation for our turnaround. We began by restructuring our field operations team to ensure our salons were getting the leadership support they needed to grow. We put in place our first-ever Human Resources and Asset Protection teams. With 7,000 salons and over 47,000 employees, these teams are crucial to our future success. Adding Human Resources and Asset Protection has allowed us to train and develop our field leaders in salons on an ongoing basis. To the vast majority of our field leaders, this training is the first they have received, and the response has been overwhelmingly positive. 
 We implemented and have since upgraded our point-of-sale system to enable digital capabilities and are now collecting information for millions of guests. We are using the information to improve the guest experience with Regis and their retention to our stylists and salons. We learned from our stylists one of the most important motivators and retention drivers is their ability to improve their craft. We have been aggressively growing our Technical Educator team over the past few months to the point where each of our Region Directors will have a dedicated technical training partner by the end of this calendar year. 
 Our investments in Human Resources, Asset Protection and Technical Education teams have been significant. However, we have been thoughtful and prudent with our G&A dollars as we have built these capabilities at Regis. We redeployed many of our expenses into the training and development of our field leaders and stylists. In 2011, our G&A, excluding our field operations team and our former Hair Club business, was approximately $213 million. In 2015, our G&A was approximately $186 million, and while we don't give guidance, our 2016 G&A will be in that same range. We've built important capabilities for our turnaround, and we're cautious with our use of G&A. In addition, we reduced our field operation expense by approximately $10 million over that same period of time. 
 As we have been fixing the business, we have been doing it with cash flow generated from the business. At the same time, we have built a strong balance sheet. We paid off our convertible debt without diluting shareholders, and we have been deploying our capital to the highest possible returns.
 We also changed compensation plans for our field leaders. We've developed a pay-for-performance culture by aligning the compensation programs with profitable sales growth. Field operator incentive programs are now paid for growing revenues and salon profitability. In the past, they were compensated solely for revenue. On a recent trip to visit salons, I participated in discussions with District Leaders about the best way to maximize salon growth, profitability and their incentives. This was extremely encouraging and a vastly different conversation compared to when we began this journey. It is not only exciting for me, but it is also generating excitement in the field as success stories are shared. 
 We also changed the compensation program for our corporate or [ph] salon support staff. They are now incentivized on cash flow per share. We made this change for 2015, and again, it has changed the conversation to what we can do to support our salons to grow revenues, manage our corporate expenses and be judicious about requesting capital.
  Last but certainly not least, we built out our senior leadership team during that time frame to include highly competent leaders with deep functional and industry experience.
  I'm often asked by our investors what inning of the game we are in at this point in time. My response has changed a bit. We're in early innings and progressing well. The major difference is we have a much stronger team to play the game than we did when the first pitch was thrown. We have built a strong team at the leadership level, and the quality of our field leaders has grown over the past 2 years. 
 I trust this gives you a good feeling about where we have been. I now want to move to where we are today and where we are headed. As I mentioned, we have begun to stabilize the business in 2015. We have seen change beginning to add value in many of our salons and districts. Our overall business reported same-store sales of minus 80 and 30 basis points for the fourth quarter and full year, respectively. 
 As I will discuss in further detail in a few moments, we've made significant progress against our fiscal 2015 initiatives focused around Leadership Development, Asset Protection and Technical Education. While significant work remains to fix our premium and retail businesses, our performance demonstrates we have begun to stabilize the value business during fiscal 2015. Supercuts and SmartStyle remain our best performers, boasting service comps of 1.3% and 1.8% for the fourth quarter and full year, respectively. That said, we still have varied results across the entire portfolio. Our strong leaders are carrying the day. They are driving sustainable improvement by using the tools, processes and metrics we provide to drive growth in their districts and salons quarter after quarter. These leaders are becoming better at leading their salons and hiring and retaining top stylists and salon leaders. To date, they continue to represent half our business, and as we conclude fiscal '15, we are focused on leaders who have yet to show progress. 
 To achieve the broader-scale turn, our underperforming field leaders need to grow and grow consistently. I recognize there is significant work ahead of us before we deliver sustainable profitable growth across 7,000 salons and over 47,000 employees. In these situations, we are providing additional training and development or upgrading talent as required. 
 The performance of our field leaders during the fourth quarter was consistent with the first 9 months of the year. We ended the year with just over half our District Leaders, Regional Directors and Regional Vice Presidents comping positively. Nearly half of our District Leaders who grew comps in the fourth quarter have been positive over the last year. These leaders are becoming better at leading their salons and hiring and retaining their stylists as they lap easier comps from 2014. 
 Also during the fourth quarter, our digital integration with customer satisfaction programs, mobile and Web check-in and guest data capture continued to gain traction. Since their launches in the second quarter, almost 500,000 guests have downloaded our Supercuts mobile app. Visitation to our enhanced Supercuts website is up over 32%. Visitors are spending more time on our content-rich site, and online check-ins continue to grow weekly. In both cases, the ability to locate salons and check in online or using mobile devices reduces wait time for our guests and the time it takes for our stylists to check guests in at our salons. 
 My Salon Listens, our guest satisfaction measurement and feedback tool launched in the second quarter to the entire Regis system, continues to provide us with almost instant guest feedback. Over 1 million guests have provided ratings and commentaries about their service experience. Our leaders use guest verbatim comments and satisfaction scores to deliver positive reinforcements and coaching moments to our stylists in our efforts to provide exceptional guest experiences. My Salon Listens is helping us create excitement and measurements around guest satisfaction that build the performance culture we are working to create in our salons. Not only will these measurements keep us focused on the overall guest experience, they will also help us evaluate the effectiveness of stylist recruiting and development and decision-making capabilities on talent. 
 You may remember we launched national television advertising for Supercuts this past March. I'm pleased with the quality of these ads and how well they capture the brand's positioning. During the fourth quarter, we conducted positive -- we conducted post-advertising research, media mix modeling and analytics on changes in guest traffic. Results to date have been quite compelling. If you haven't yet seen these ads, feel free to visit our supercuts.com website and take a look for yourself. They are topical, engaging and support our company-owned as well as our growing franchise business.
  In fiscal '15, we added 143 new franchisees to the system and opened 217 new franchise salons. These new franchisees are helping to expand the Supercuts footprint and, along with our strong existing franchise base, are contributing to revenue and cash flow improvement.
  Now let's cover our progress against our fiscal '15 initiatives focused around Leadership Development, Asset Protection and Technical Education. I'll start with Leadership Development.
 In the back half of 2015, we trained all 900-plus District Leaders, integrating technical education with positive leadership. We brought each of our regions to an intensive 2-day program, beginning the process of turning our District Leaders into leaders and developers of talent in their salons. The program was very well received and proved to be a very strong motivational tool. Because this was the first leadership development most of these leaders received, it was an important step along our journey to becoming the employer of choice in the industry. Our training focus for District Leaders in fiscal 2016 and beyond will be on stylist retention and staffing, consultative selling of services and products, coaching and developing their salon teams and improving business acumen. This will increase internal bench strength and continue to demonstrate our commitment to helping our people reach their potential and grow their careers with Regis.
  In the fourth quarter, we continued our Salon Manager training pilot focused on stylist recruitment, onboarding and retention, guest retention and basic salon operations. The pilot identified key development needs and helped us understand the pace and vehicles in which to deliver this type of training. As a result, we will introduce our new Salon Manager curriculum in fiscal 2016. This is a comprehensive program that helps Salon Managers become more confident and competent in their roles as teacher, leader and coach to stylists and focuses them on stylist retention and salon staffing. In addition to being deployed to 7,000 Salon Managers, this new curriculum will become our onboarding program for new salon leaders, creating a more standardized platform to empower our new leaders.
  Now that we've laid the foundation for ongoing leadership development, we plan to consistently deliver this training to District Leaders and Salon Managers in 2016 and beyond. This training for District Leaders and Salon Managers plus technical education are key to making Regis the employer of choice in the salon industry.
  Moving on to Asset Protection. Creating an environment where all stylists are working together, positively contributing to the health of our salons and stylists, remain a key priority for our Asset Protection team. Asset Protection is working together with our field leaders, contributing to the success of our Salon Managers and stylists. Through our Asset Protection awareness program and salon visits, they are encouraging field leaders to make the right choice to optimize their individual success and revenues at Regis. During the fourth quarter, the Asset Protection team conducted approximately 800 awareness training sessions and salon visits, bringing our year-to-date total to approximately 3,500. Sales improvement -- improvements from these visits were maintained in the fourth quarter as our field leaders hold salons accountable for acceptable Asset Protection behaviors.
  In 2016, we will continue to rely on technology and tools we've built, like exception reporting, our case management database and progress reports and dashboards to drive Asset Protection priorities and activities and to measure associated progress.
  Technical Education has the potential to have significant impact on our performance because it touches each of our 45,000 stylists. Stylists want to develop their craft and stay ahead of current beauty care trends and techniques. Making Regis a place where stylists can expect continued technical product and experiential training reinforces our commitment to stylists' ongoing development. By executing well in this important area, we intend to become the employer of choice among stylists and improve stylist retention and staffing, leading to greater guest satisfaction.
 Our Human Resources team is fulfilling this promise in several ways. We are working to become more localized in the way we deliver and execute technical and experiential training. To that end, we have developed specific onboarding plans we have been following since the back half of fiscal '15 to build our staff and align 92 Artistic Directors with our Regional Directors. Our vision for this program is to provide our stylists with opportunities to receive several technical training sessions each year. When fully staffed, the program will ensure all salons receive in-salon technical training and provide region cluster classes for our stylists to leverage based on specific needs. To date, we are about 50% complete in building this organization as we move quickly to recruit the right people. In fiscal '16, we will complete this expansion, develop the associated training curriculum and begin to deliver this relevant technical education.
 We're also continuing to work with our vendor partners to develop and pilot training programs for our people. These classes take a variety of forms, including hands-on classes in salons, cluster classes, webinars and private Web chats, where vendors offer specific information about different categories of products and how to use them, so stylists can share and offer personalized suggestions for guests to maintain their styles after leaving our salon. Besides creating excitement around products, these classes benefit our business by team building and motivating stylists to sell retail items.
  These programs have been successful, as evidenced by positive feedback we have received from our stylists. Vendor-sponsored training is an important part of our training strategy, and we will continue to partner with our vendors in fiscal '16 and beyond to meet our stylists' ongoing training needs.
  Before concluding, I would like to repeat a comment I made on the last call. While we continue to make progress with our turnaround, adjusted EBITDA declined. Same-store sales growth remains the single most important contributing factor that will lead to EBITDA growth. Investments we are making to improve field leadership skills, stylist retention and execution capabilities will lead to delighted guests and ultimately, same-store sales and cash flow growth.
  Because we are a people organization, investments we make often flow through our income statement instead of our balance sheet. These investments continue to build our foundation and will enable us to turn the business and provide significant operating leverage when successful. We remain focused on funding investments and managing inflation through disciplined cost management and rigorous review of all spending to ensure we continue to protect the strong balance sheet we have built.
  Heading into fiscal '16, I'm confident we are following the right strategies to make Regis a place where stylists can have successful and satisfying careers. In doing so, we'll drive improved stylist retention, salon staffing, salon-level execution and, in turn, great guest experiences that lead to consistent profitable growth. We have significantly strengthened our field leadership and execution capabilities, improved our understanding of what drives successful results and developed reporting and analytics to measure field leadership progress on stylist retention and salon staffing. Having said that, it's important to remember we are transforming our culture into one that is focused on realizing the potential of each of our salons. It takes time for cultural shifts to occur, and it's difficult to predict the pace at which an organization can change. We have significant work ahead of us, but I'm proud of the foundational work the team has put in place to help us drive long-term growth and shareholder value.
  I'd now like to turn the call over to Steve. Steve? 
Steven Spiegel: Thank you, Dan, and good morning. Before discussing our performance for the fourth quarter, I want to cover several housekeeping items. First, included in today's press release as well as on our corporate website is a reconciliation bridging reported results to earnings as adjusted for the impact of discrete items for the fourth quarter of the current and prior years. 
 Second, the presence of a valuation allowance against most of our deferred tax assets affects comparability of reported and as-adjusted results to prior periods. Income tax benefits for the quarter of $2.2 million includes a $2 million reversal of previously recorded charges relating to tax benefits we claimed for goodwill amortization and do not recognize for GAAP purposes. Taking into consideration this reversal, we've recognized $8.9 million of noncash tax charges relating to this goodwill amortization for the full fiscal year. As I've mentioned in the past, this noncash charge will continue annually in decreasing amounts as long as we have a deferred tax asset valuation allowance in place and could continue to fluctuate significantly from quarter to quarter as a result of how the effective tax rate is determined at interim periods. 
 Third, in reviewing our accounting for noncash impacts of deferred rent, we identified a $5.3 million understatement of our deferred rent liability. As a result, noncash rent expense increased $63,000, $157,000 and $471,000 in fiscal 2015, 2014 and 2013, respectively, and $4.3 million of this understatement related to fiscal 2010 and prior. In addition, this did not impact our operating cash flows in any year. Because the overall understatement was deemed material to fourth quarter and fiscal year earnings, we revised our annual financial statements for fiscal years 2011 through 2015 and quarterly financial statements for fiscal years 2014 and 2015. To assist you with your modeling, we've posted revisions to our income statement on our corporate website.
  In the fourth quarter, Regis reported a net loss of $2.6 million or $0.05 per diluted share. This includes $0.04 per diluted share of noncash benefit due to the impact of the deferred tax valuation allowance on income tax expense and discrete charges of $0.06 per diluted share. 
 Since our press release includes detailed explanations for our major P&L line items, my comments will mainly bridge as-adjusted results for the fourth quarter of fiscal 2015 with the comparable revised prior year quarter. 
 Adjusted EBITDA for the quarter came in at $24.4 million compared to $25.8 million in the prior year quarter. Excluding discrete impacts, fourth quarter diluted net loss per share as adjusted was $0.01 compared to a net loss of $0.10 in the prior year quarter. This represents improvement of $0.05 per share when excluding noncash impacts related to the deferred tax valuation allowance. This improvement was primarily driven by improved salon productivity and salon-level inventory management, lower interest expense, improved self-insurance reserves, cost savings, lower depreciation, higher franchise royalties and fees and lower noncash equity and losses of Empire Education Group. These were partly offset by higher incentives as we lap an incentive-light year, minimum wage increases, lower sales comps, planned strategic investments around Asset Protection and Human Resources and higher health insurance costs. 
 As noted in our earnings release, fourth quarter G&A expenses as adjusted for the impact of discrete items increased $5.9 million compared to the prior year quarter. This was disproportionately higher than our run rate for the first 3 quarters of the fiscal year due to the timing of certain expenses. Accordingly, G&A expenses for the full year of $186.1 million is more reflective of our overall run rate. As Dan noted earlier, we have and will continue to remain focused on ways to further simplify and drive cost efficiencies.
  Moving on to liquidity. We remain focused on funding investments and managing inflation through disciplined cost management and rigorous review of all spending to ensure we continue to protect our strong balance sheet. To that end, our business generated approximately $22 million of operating cash flow during the quarter. We finished the quarter with $212 million of cash, $120 million of total debt and no outstanding borrowings under our $400 million revolving credit facility.
  This concludes the financial portion of the call. We would now like to answer any questions you may have. Operator, can you please provide the instructions for the Q&A portion of the call? 
Operator: [Operator Instructions] And we'll go first to Steph Wissink with Piper Jaffray. 
Stephanie Wissink: A few questions. Dan, if you could just start by giving us some directional guidance on the spread in comp between your Salon Managers or field managers that have achieved some of the curricular and learning attributes that you're trying to depart [ph] on them and then those that aren't. I'm just trying to appreciate, with the blended comp right below kind of a flat range, what is the span or the spread of the low to the high? And how do you inch more and more of your managers toward a higher level? 
Daniel Hanrahan: So great question. I won't give exact specifics. But we've got -- if we look at just our positive performers, we would be in low single-digits positive area if you added them all up. The spread on that is pretty big. We do have District Leaders that are doing well into double-digit comps. And so where we've got people that are executing well against our strategy, they're doing a great job delivering the results. The ones below are similar. They're low single-digit comps. So what we don't have is we don't have a broad spread around the mean. But there also, we have a fairly wide spread. We have people that are just under flat and some that are down close to double digits. So what we're doing is all the stuff that we were pointing out in the call. This is really about developing talent, getting the right leaders in place and having -- helping them to execute our strategy. And where we're getting that right, we're getting very good results. It gives me a lot of confidence about our business because we've seen that the strategy works, so our challenge is to continue to develop our people and where we can't, quite honestly, to upgrade them. And we haven't been shy about doing that at all. We prefer to develop the talent, but if we have to upgrade the talent, we'll do that as well. 
Stephanie Wissink: That's very helpful. So if I could just paraphrase, not a broad spread around the mean would imply that getting your Salon Managers from the low single-digits negative to a positive low single digit, is that directionally far of a move? And so can you maybe give us some insight into what has changed in the incentive model at the field level to really motivate them? 
Daniel Hanrahan: Yes, I can. Our District Leaders are -- we put a program in place where we're compensating them to drive not only sales results but also contribution. And we've improved that program. It's actually a -- it's a very creative program that rewards them a little bit like being an owner. If you talk to any kid coming out of beauty school, they will all tell you that their aspiration is to own a salon, and that aspiration really doesn't go away ever. They all aspire to be salon owners. So what we did is we put a program together, where if they overachieve their target, they can earn money that will sit there next year for them as long as they continue to grow. So a portion of their bonus will also be there next year. So it's a great retention tool for us, and it is also a tool that really incentivizes them to perform. And as I was pointing out in my transcript there, I was actually in Seattle recently, and I had lunch with 4 District Leaders. And the conversation had shifted from talking about what we still need to do to help them to what they can do to drive the business themselves. And they're thinking around, "Geez, if I have something that needs to be done in the salon, I now think about can I do that myself rather than having to call somebody in to come and do it." And it may be a simple task, changing a lightbulb, floors need to be scrubbed. I mean, it was just an amazing conversation for me because what it said was that they were thinking like business people and they were thinking about four-wall contribution rather than just getting through the day. And each of them was so motivated by the fact that they had earned that extra bonus above the target that they were already talking about things they were doing differently this year that would drive even better results for next year, so they could be in that pool again. So we've tried to treat them like owners and make them feel more like partners with us. And the ones that are earning it, it's an incredible motivational tool as well as a great retention tool. 
Stephanie Wissink: Great. And then just final question with respect to the hire of a new CMO role regarding your product merchandising effort. Can you just update us on the timing of some of those changes and what we should be looking for at the store level regarding some of those updates? 
Daniel Hanrahan: Sure. So we were lucky enough to get Annette Miller, and Annette came -- started with us right after the first of the year. She comes with a terrific background from Target and has actually proven to be a great partner on the leadership team. She's doing a lot of work around 3 areas. She's working very hard on something that we call combo sales. So one of the things that we believe is a quick way to grow our retail business is that when somebody's in getting their haircut, we want to make sure that they buy product. And she's come up with some very creative ways to help educate and incentivize the stylists. She's also working on assortments. We have pretty much a one-size, fits-all across our salons, and she's been much, much more thoughtful about that. And then also on inventory management, not only in our warehouse but at the salon level, making sure that we have the right in-stock on our best sellers. We have a pretty good replenishment program. But again, it was sort of a one-size, fits-all. So she's been very, very thoughtful about how we can drive retail with tools like that, and she's done a lot of good, competitive assessments, too, on the category as a whole. So we need to give her time to put it in place. As you know, with any kind of retailer, you can't just make plans with your suppliers and change things the next day. You need time to get it to work through the system, get the right POS in the salons. But I think the things that Annette and her team are doing are really thoughtful and will have a nice impact on our retail business over time. 
Operator: Our next question comes from Bill Armstrong with CL King. 
William Armstrong: Just a couple quick ones. It looks like you bought some shares back in the fourth quarter. I wonder if you could tell us how many you bought and at what average price. 
Steven Spiegel: We bought about just over 900,000 shares, and the average price was in the mid-$14 per share range. It's in our -- it's actually in our 10-K. 
William Armstrong: It is? Okay. I'll take a look at that. And you had an inventory -- a book-to-physical inventory adjustment during the quarter. How much was that? 
Steven Spiegel: Well, we don't actually spell out the exact amount. But actually, throughout the year, as our execution has been improving in the salon, we've been seeing tremendous compliance from a cycle count perspective. And that's been, through the year, starting to give us a lead indication that our shrink rates were improving. And so in the end of the year, when we actually trued up the full book-to-physical, we saw the benefit of that. It was the large impact that really helped our retail margins in the quarter. 
William Armstrong: Got it, okay. So I'm just trying to figure out what sort of retail margin to maybe model going forward because it looks like there's a nonrecurring benefit there with that 53%. 
Steven Spiegel: Yes. We don't give guidance, but what I'll tell you is that we probably had some de minimis margin deterioration because of the mix of business to combo versus retail only. A combo ticket is a little bit lower. Other than that, not much else. 
William Armstrong: Okay, understood. And then maybe a little bit bigger picture, your company-owned salons, you're shrinking the base a little bit, and you're adding some -- a little bit to the franchise store base. And the franchisees on average or as a group have been comping positive. Any thought or discussion at the board level or amongst the managers about maybe accelerating a move towards maybe a greater mix of franchise versus company-owned salons? 
Daniel Hanrahan: So I'll take that one, Bill. Good question. We have, over the last couple of years, really accelerated the growth of our franchise business for a couple of reasons. We saw that there was an opportunity to protect markets that we were in, and we did see that there was also an opportunity to grow revenues out of that. The franchise business today performs better than we do. So while we have hunkered down and focused on fixing the salons we have today, we have been growing the franchise business aggressively. 
William Armstrong: Right. So any thought as far as making maybe a much greater push and shifting to a bigger mix of franchise salons? 
Daniel Hanrahan: So if I read between the lines and say -- and make sure that I get your question, if we were going to take a large number of our shares and convert them to franchise, no, we believe that we can fix them. We believe that we know that when we run a salon well, we generate an awful lot more cash flow from a salon we run well than we do from a franchise. We think that we're an interesting hybrid. We like both, but we believe that we can fix the base business and that we can generate a lot of cash as a result of fixing that base business. 
Operator: And we'll go next to Jill Nelson with Johnson Rice. 
Jill Caruthers: If you could just talk about looking at the cost structure for fiscal '16, any levers that you can pull to lower the structure down? And then just thinking about the investments you made in HR and Asset Protection in fiscal '15, will those sort of trail off in '16 and we start to reap even more benefits? Just how do we think about that? 
Steven Spiegel: Yes, so we don't give guidance as to our cost structure, but what I'll tell you is a couple of things. One, to the extent we are making investments -- or continuing to make investments next year, we're funding it through our cost structure. So we're continually looking for ways within our own cost structure to offset the impact of future investments in our business. But where we get the real leverage in the business is by growing, and I think when we suddenly see our business grow in that 1.5% to 2% range, that's when we begin to see leverage of growth. 
Jill Caruthers: Okay. And then can you just talk about -- I know we're seeing higher minimum wage pressure, call it, labor pressure. Could you talk about -- I assume that's going to be a headwind for next fiscal year. 
Steven Spiegel: Well, I won't speak about it from a guidance perspective, but what I'll tell you is minimum wage is, in the short term, what I would call our headwind, and in the long term, it's our opportunity. In the short term, when we're not executing as well as we'd like to be, a larger percentage of our stylists are not commissioning. So as a result, when minimum wage goes up, it creates cost pressure for us. In the long term, when all of our portfolio is executing as well as the half that Dan referred to earlier, a greater percentage of our stylists begin to commission. And then minimum wage becomes a theoretical argument because they're making more than minimum wage once they're hitting the commission scale. Does that help? 
Jill Caruthers: It does. And then just one last quick one. Online booking at Supercuts, could you talk about how -- what are you seeing there? It sounds like you're pleased with it. Do you feel like you're getting new customers? Or is it more just your existing customers come in more on a repeat basis? 
Daniel Hanrahan: It's the combination of the 2. It's a mix. So what we are seeing, though, that once somebody gets into the online booking tool, be it through the mobile app or through the website, is they become a consistent guest. It's a really easy way to get a service from Supercuts. And I think our marketing team did a great job building out both the website and the mobile app and will continue to bring improvements to that. I saw some improvements yesterday that I was really excited about. So I think that while we're pleased with where we are today, I think we're just scratching the surface of where we can go with that technology. 
Operator: And at this time, I will turn the conference back over to the speakers for closing remarks. 
Daniel Hanrahan: Okay. Well, thank you, Cassandra, and thank you, everybody, for joining us today. We look forward to talking to you again in a couple of months. Have a great weekend. 
Operator: And this does conclude today's conference. Thank you for your participation.